Operator: Good day, ladies and gentlemen, and welcome to the fourth quarter 2011 comScore Incorporated Earnings Conference Call. My name is Lacey, and I'll be your coordinator for today. [Operator Instructions] As a reminder, this conference is being recorded for replay purposes. I would now like to turn the presentation over to your host for today's call, Mr. Ken Tarpey, Chief Financial Officer. Please proceed. 
Kenneth Tarpey: Thank you very much. Good morning, and welcome to comScore's earnings call for the fourth quarter and full year 2011. Again, I'm Ken Tarpey, CFO at comScore. And on the phone with me today is Magid Abraham, our President, CEO and Co-Founder.
 Before we begin, please allow me to read the following disclaimer regarding our use of forward-looking information and non-GAAP financial measures. During the course of today's call, as well as during any question-and-answer periods that may follow, representatives of the company may make forward-looking statements within the meaning of Securities Act of 1933 and the Securities Exchange Act of 1934 regarding future events or performance of the company that involve risks and uncertainties, including, without limitation, the strength of comScore's business, expectations as to opportunities, including new customers and markets for comScore, expectations as to the growth and composition of comScore's customer base and renewal rates, expectations regarding the impact and benefits of particular lines of business and products, expectations regarding the relative quality of comScore's products, expectations regarding comScore's acquisitions, expectations regarding comScore's intellectual property rights, expectations regarding the results of comScore settlement with Nielsen, assumptions regarding tax rates and net operating loss carryforwards and forecast of future financial performance for the first quarter and the full year of 2012, including related growth rates, exchange rates and assumptions.
 Such statements are only predictions based on management's current expectations. Actual events or results could differ materially from those predictions due to a number of risks and uncertainties, including those identified in the documents comScore files from time to time with the Securities and Exchange Commission. Those documents specifically include, but are not limited to, comScore's Form 8-K filed earlier today relating to this call, comScore's Form 10-K for the period ending December 31, 2010, and comScore's Form 10-Q for the period ending September 30, 2011.
 We caution you not to place undue reliance on any forward-looking statements included in these presentations, which speak only as of today. We do not undertake any obligation to publicly update any forward-looking statements to reflect new information after today's call or to reflect the occurrence of unanticipated events. In addition, we may also reference certain non-GAAP financial measures in the course of our presentation. You will find, in our press release and on our Investor Relations website, a reconciliation of non-GAAP financial measures discussed during today's call to the most directly comparable GAAP financial measure. The link to our Investor Relations website is ir.comscore.com, and our results are posted under Press Releases.
 With that, I will now turn the call over to Magid. 
Magid Abraham: Thank you, Ken, and thank you, all, for joining our earnings conference for the fourth quarter of 2011. We are pleased to report good revenue performance and very good EBITDA performance, both sequentially and year-over-year despite the negative impact of foreign exchange headwinds in Q4. We entered 2012 well positioned to drive top line growth by operating innovative best-in-class solutions that enable publishers, advertisers and agencies to optimize their digital strategies while continuing to focus on our execution to drive further margin expansion. 
 Revenue in the fourth quarter was $22.6 million, a 22% increase from the fourth quarter of 2010 and 7% up sequentially. Our fourth quarter revenue was negatively affected by foreign exchange fluctuations, which reduced revenue growth by $600,000 or 1 percentage point in growth. Still, we executed strongly and produced adjusted EBITDA of $15.4 million, a 34% increase from a year ago and representing adjusted EBITDA margin of 24.6%, the highest level in 2 years. 
 Activity at both new customers and existing customers remained healthy in the quarter. We added 54 net new customers in the quarter, consistent with our recent quarter's performance and our subscription renewal rate was well into the 90%-plus range on a constant dollar basis in our seasonally strongest quarter for renewals. Our international business continues to expand with revenue from outside the United States up 56% from a year ago. 
 On a full year basis, we delivered a strong performance as well. Full year 2011 revenue was $232.4 million, up 33% from 2010 and adjusted EBITDA was $47.1 million, representing EBITDA margin of 20.3%. Beyond the financial statistics, 2001 was a year of substantial investment and accomplishment for comScore. We believe we have laid the foundation for compelling offerings in 3 analytic segments that complements our traditional audience analytics business, which continues its robust growth in its own right. 
 In the area of advertising analytics, the year culminated with the implementation of validated Campaign Essentials or in short vCE, which we officially introduced to great industry reception on January 18, 2012. vCE enables the validation of advertising exposures, which are served by an ad server and counted but may never actually reach a real user. vCE also delivers essential campaign metrics such as validated reach and frequency, validated GRP, audience demographic composition and in an industry first, behavioral segmentation. 
 During the fourth quarter, we executed an oversubscribed charter program with campaigns from a dozen blue chip advertisers and their agencies in a CPG, OTTO, financial services and telecom markets. Participating clients included industry leaders such as Kraft, General Mills and Kimberly-Clark in CPG; Ford and Chrysler in auto; Allstate, Discover and E*TRADE in financial services; HTC and Sprint in telecom. The results of the program were shared with the industry at the vCE launch event last month. They showed that an average of 35% of campaign impressions were not valid. With validation failures varying from 7% to over 90% across sites. They also demonstrated that the true reach of the campaign is substantially lower than what is traditionally reported based on growth impressions and traditional GRP metrics that include nonvalid impressions. 
 We are extremely gratified by early customer and industry interest in vCE not only from advertisers and agencies but from publishers as well. Many clients and industry observers have characterized the product as industry-changing. Within the last 2 weeks, we have signed up several new and charter vCE customers, and we are developing a very healthy pipeline consisting of both pilots and extended commitments. We will use pilots aggressively to achieve ubiquity among marketers and agencies. Eventually, we expect these pilots to translate into broader and longer-term commitments with a progressively growing contribution to our top and bottom line. 
 On the web analytics front, we started seeing payoff from our integration and product development efforts throughout 2011. Revenue from our Digital Analytix suite grew strongly in the fourth quarter, and the business was accretive to EBITDA for the first time. We are encouraged by the early customer activity so far in 2012, which we expect to translate into accelerated bookings that will gradually accrue into revenue on expanded margins later in the year. 
 As we mentioned on previous calls, our explore suite of carrier analytics is breaking new grounds in integrating carrier network data and subscriber usage data to help wireless operators effectively leverage the opportunities and challenges of skyrocketing mobile data usage across the globe. Despite initial start-up delays in our cross media partnership with AT&T, we have successfully delivered our first suite of 4 screen measurement reports, including TV, mobile, tablet and PC usage to CIMM, which is the Coalition of Innovative Media Measurement made up of leading TV, broadcasters, marketers and advertising agencies. We are also pleased for being selected to measure NBCUniversal's 4-screen audience for this year's Summer Olympics. 
 On the international front, our global expansion has hit its strides with international business contributing 27% of our total revenue in the second half of 2011. We expect our strong growth to continue fueled by our expanding geographical footprint, the anticipated endorsements of several important local industry bodies for comScore as the preferred audience measurement source. In addition, the rollout the vCE and AdEffx product suite outside the U.S. and the continued international expansion of Explore and Digital Analytix products. 
 Finally, we are pleased that the IP litigation with Nielsen was put behind us through a settlement agreement that includes the acquisition of 4 families of Nielsen domestic and international patents and patent applications. In combination with other IP acquired by us and patents that we have cultivated organically, our current expanded IP portfolio provides a strategic foothold over existing and new technologies within our broader addressable market. 
 As a technology company, developing and protecting our intellectual property is an important aspect of building our business, and we view our agreement with Nielsen as a strong positive for our business and future innovation. For 2012, we will be highly focused on strong execution capitalizing on our substantial investments in 2011 in order to maximize the medium- and long-term contribution of new products to our top line growth while prudently managing our expenses to improve margins. While we are mindful of the longer sales cycle of some of our new SaaS products and of the revenue accrual lags from the growing adoption of vCE, we expect strong and broad-based booking activity, which will turn into higher growth in the second half of the year and beyond. 
 Nevertheless, we are expecting healthy revenue growth in 2012 of approximately 19% to 21% based on current foreign exchange rates while driving margins of improvement and earnings growth. 
 In summary, we are pleased with the momentum we are enjoying as we enter 2012 benefiting from the strong strategic foundation we built during 2011. We are excited by the multiple growth opportunities within our larger addressable market made possible by our expanded innovative product portfolio and timely industry solutions. Now I will turn the call over to Ken for comments on our financial performance in the fourth quarter and our outlook for 2012. Ken? 
Kenneth Tarpey: Thank you, Magid. GAAP revenue in the fourth quarter was $62.6 million, up 22% year-over-year. Subscription revenue in the fourth quarter of 2011 was a record of $52.2 million, up 22% also year-over-year. Subscription revenue represented 83% of total revenue. Project revenue was $10.4 million, up 25% from the fourth quarter of 2010 and up from the third quarter 2011. Total revenue was negatively impacted by approximately $600,000 due to foreign exchange fluctuations in the fourth quarter. GAAP revenue from existing customers was up 28% year-over-year in the fourth quarter to $55.9 million and represented 89% of total revenues. We added 54 net new customers in the fourth quarter with our customer count now standing at 1,978. Our focus on international expansion continues to drive an increase in international revenue. 
 In the fourth quarter, revenue from outside United States was $17.1 million or 27% of revenue and up 56% year-over-year. Our top 10 customers represented 24% of revenue in the fourth quarter reflecting increased diversification in our overall customer base. Consistent with this trend, we had no 10% customer in the fourth quarter. 
 Turning now to expenses, gross margins were 70%, up from 67% level the last few quarters and in line with the 70% gross margin from the same quarter a year ago. Gross margins, which were impacted by the effects of our 2010 acquisitions have now bounced back to more normalized levels. GAAP pretax loss was $4.4 million in the fourth quarter, as compared to  a GAAP pretax loss of $1.5 million in the fourth quarter of 2010. Note that our GAAP pretax loss was impacted by $7.8 million of Nielsen litigation and related settlement costs. Absent these expenses, we would've been pretax profitable at $3.4 million on a GAAP basis in the fourth quarter of 2011. The Nielsen settlement payment of comScore stock in exchange for certain Nielsen patents was fair valued at $16 million due to the stock voting and holding terms. 
 The acquired patents we then determine to have a current value of $11 million, which was recorded as intangible assets, which will be amortized over the remaining patent years of approximately 8 years. The $5 million difference amount was recorded as a 1x settlement charge in the fourth quarter of 2011. 
 Turning now to taxes. Our effective GAAP income tax rate in the fourth quarter was a 26% benefit rate due to the current booked pretax loss position. GAAP net loss was $3.3 million or $0.10 per basic and diluted share in the fourth quarter of 2011 based on a basic and diluted share count of 33.2 million shares. Non-GAAP net income for the fourth quarter of 2011 was a record $11.8 million or $0.35 per diluted share, excluding litigation costs, settlement cost, stock-based compensation, amortization of intangibles, acquisitions-related expenses. This amount compares to a non-GAAP net income of $7.8 million or $0.24 per share in the fourth quarter of 2010.
 With our varying tax rates and nontax -- noncash expenses, we believe that adjusted EBITDA is a useful measure for investors to use to evaluate our operating performance. Adjusted EBITDA takes non-GAAP net income and adjusts it to exclude the cash tax provision, depreciation, intangible amortization costs, stock-based compensation expense, acquisition-related expenses, litigation costs, net interest income and the impact of purchase accounting on acquired deferred revenue. On this basis, adjusted EBITDA was a record $15.4 million in the fourth quarter compared to $11.5 million in the fourth quarter of 2010, an increase of 34% and representing an adjusted EBITDA margin of 24.6%. Our adjusted EBITDA came in higher than anticipated as we continually focus on improved execution to drive margin leverage. 
 For the full year now of 2011, revenue was $232.4 million, up 33% from 2010. GAAP net loss was $15.8 million or $0.49 per share. Note that our GAAP net loss was impacted by 2011 cost of $16.5 million of litigation cost and related settlement cost. Adjusted EBITDA was a record $47.1 million, up 23% compared to 2010. Though adjusted EBITDA margin of 20.3% for 2011 was down from 21.9% in 2010, we believe improving margin trends that we started to see in the second half of 2011 will carry into 2012. Non-GAAP net income in 2011 was also a record of $31.8 million or $0.97 per share. 
 Turning now to cash flow. Cash flow from operations for the fourth quarter of 2011 was $7.9 million. Our cap expenditures were $1.3 million in the quarter. This resulted in the fourth quarter free cash flow of $6.7 million, which included a $1 million cost outflow of legal cash payments related to the Nielsen litigation. 
 Looking at 2011 for the year, cash flow from operations was $26.8 million. Our capital expenditures was $7.2 million, which resulted in the 2011 free cash flow of $19.5 million, which was also incorporated in the negative impact of cash payments of $11 million related to the suit and settlement of the Nielsen litigation. Adjusting for these nonrecurring payments, free cash flow would have been $30.5 million in 2011. 
 Total deferred revenue, which includes current deferred revenue of $68.7 million and long-term deferred revenue of $1.7 million was $70.4 million. This total deferred revenue is comprised of cash paid upfront for subscription licenses or subscriptions that will be recognized over future periods. As expected, we had strong renewal activity in the quarter, so we saw a healthy improvement in deferred revenue in Q4 over Q3. We have seen more customers shipping to quarterly or monthly payment terms rather than more accelerated payment terms because of the growing scale of our contract sizes with large customers, as well as current general economic conditions. These shifts in billing terms reduced deferred revenues by lowering advance billings as a percentage of overall bookings. 
 Our full year GAAP tax rate was a benefit rate of 16%, and the tax benefit of current losses was somewhat minimized by valuation allowances mainly related to Netherlands. On a full year basis, our cash tax rate was 7% and as a result of our profitability in certain international jurisdictions such as Canada, some South American countries and certain states where we do not have net operating loss carryforwards available. For 2012, we project an annual GAAP tax rate of approximately 52%. The GAAP tax rate is somewhat higher due to the inability to deduct current losses, again principally in Netherlands due to valuation allowances. For 2012, we anticipated annual cash tax rate of 8%. We continue to hold significant net operating loss carryforwards in the United States, certain states in the U.S., certain international subsidiaries, principally Netherlands and U.K. 
 As of December 31, 2011, cash, cash equivalents and short-term investments totaled $38.1 million. Our receivables of $54.4 million increased from the $54.3 million of a year ago and up $13 million sequentially due to the growth of our business and the timing of our fourth quarter bookings. Our DSOs of 88 days are consistent with the fourth quarter last year. 
 Now let me turn to our guidance for the first quarter of 2012 and the full year of 2012. We anticipate full year revenue growth of 19% to 21% based on current foreign exchange rates. As I mentioned, foreign exchange had approximately 1% negative impact on our fourth quarter revenue growth rate and at current exchange rates, we anticipate a 1% impact on 2012 growth rate, which we factored for. Therefore, we're anticipating full year revenue to be between $277 million and $281.7 million in 2012. 
 With respect to revenue patterns through the year with momentum from newer products such as Dax and validated Campaign Essentials growing throughout the year, we expect quarterly year-over-year revenue growth to expand as we progress through the year. From a profitability perspective, we're maintaining our sharp focus on executing to drive profitability ahead of revenue and anticipate that adjusted EBITDA margins will grow by approximately 50 to 150 basis points from the 2011 adjusted EBITDA margin of 20.3%. 
 We anticipate GAAP income before income taxes to be in the range of $7.4 million to $10.7 million. We anticipate adjusted EBITDA to be in the range of $56.9 million to $60.2 million. For the full year of 2012, we anticipate average fully diluted share count of 34.8 million shares. 
 Now for the first quarter of 2012, we anticipate revenues in the range of $61.8 million to $62.8 million, which represents an expected increase of 17% to 19% over the first quarter of 2011. We anticipate first quarter GAAP loss income before taxes in the range of a $600,000 pretax loss to a $200,000 pretax income. As in the fourth quarter, first quarter GAAP income before taxes will be impacted by a number of noncash items. We currently expect approximately $2.3 million in amortization of intangibles and patents and $5.4 million in stock-based compensation. 
 Therefore, we anticipate adjusted EBITDA for the first quarter of 2012 to be in the range of $10.9 million to $11.7 million, which represents an adjusted EBITDA margin of 18% at the midpoint of our revenue and adjusted EBITDA guidance. Our estimated fully diluted share count for the first quarter is 34.5 million shares. A reconciliation of GAAP net income for income taxes to adjusted EBITDA guidance for the first quarter and the full year of 2012 is included in the tables to our earnings press release. With that, operator, we can now open the lines to take questions. 
Operator: [Operator Instructions] And our first question will come from the line of Jeetil Patel with Deutsche Bank Securities. 
Jeetil Patel: A couple of questions here. If you look at the business, it looks like it's more like a mid to upper-teens growth on the base. And then as we think about Digital Analytix and vCE, is it safe to assume that's going to be 2 to 4 percentage points of growth for 2012 and obviously growing it to progress through the year? Is that how we should think about the adoption rate or kind of the revenue contribution from the newer services that have been rolled out? Second, deferred revenue was flat year-on-year. I'm curious as you look at 2012, do you envision this theme to continue to play out in terms of shorter duration or kind of less deferred and a lot of folks paying as you go? [indiscernible] then a quick follow-up. 
Kenneth Tarpey: Jeetil, this is Ken. I'll take those questions, if you don't mind. I'm going to deal with the second one first. As it relates to deferred revenue, in the second half of 2011 we did see somewhat trending as we've mentioned on the payment side with customers. I think the other point in terms of year-over-year is we still have some residual impacts of the acquisitions. A year ago in the fourth quarter of our deferred revenue, we had several million that was in there relating to the purchase accounting impacts of some of the acquisitions. And I think on a more normalized basis, as we look at the end of 2012, we would see a reasonable growth in deferred revenue, pretty much in line with the growth of our business during the course of 2012. Generally speaking, customers who are used to paying upfront are continuing to do that way. We have some other customers who are, again, to our comments given size of the contract terms and some of their conditions need to do a little bit more spreading of payments. But it's been fairly consistent with what we've seen, and we would expect it to go that way, so we would see deferred revenue to grow in line with our revenue growth of 2012. On the first point, again, we saw a very good organic growth across-the-board in 2011. We will have some impact of currency on organic growth of our products in 2012. Clearly, as Magid mentioned, the expansion of vCE and then the take-up rate of Dax from a revenue standpoint as that grows in the second half of the year will help to contribute to the -- a little bit more proportionally as we go through the year from a growth standpoint. But we feel good about our organic growth rate of all of our products. 
Jeetil Patel: Maybe qualitatively, but where are you seeing greater demand for vCE? Has it been partially U.S. or are you seeing it out of the European market as well around that particular product? 
Magid Abraham: Jeetil, this is Magid. We have not ruled out vCE yet internationally. We expect to do that in the next couple of months in high priority jurisdictions. So the big activity has been in the U.S. One note with the exception has been actually in Japan, of all places, where we had actually our biggest contract in Japan on vCE in the fourth quarter. But that -- the reaction in the U.S. has been extremely positive from advertisers who are obviously the most impacted and see a big opportunity with vCE with their agencies who are obviously very incented to be aligned with customers. But we also see a lot of publishers really excited about this as really changing the game and dynamics in the display market. 
Operator: And our next question will come from the line of Youssef Squali with Jefferies. 
Youssef Squali: So a couple of questions, please. If I look at revenues from new customers, I think you reported a $6.7 million number that was down year-on-year even with the broader product portfolio that you've rolled out throughout the year. So I was just wondering, Magid, if you can speak to that and what you expect going forward. 
Magid Abraham: Sure. Revenue from new customers is coming -- a lot of it is coming from international, which, where the initial contract value tends to be smaller internationally than it is in the U.S. So on a dollar basis, the revenue from new customers is going to be lower impacted by unit price. I also think that in the fourth quarter, as well as in the next couple of quarters, we are going to be focusing on leveraging the opportunity with our new product among existing customers. Obviously, that's the area where we're going to-- we are a known quality, and we're proven in terms of our quality and client service, and we think that, that's where we are going to get the biggest uptick. So while we expect that these new products will broaden our customer base overall, we have an intentional focus on existing customers in the short term. 
Youssef Squali: Okay, that explains it. And then in your -- if I look at your guidance, you're Q1 guidance at the midpoint of revenues basically imply it's flat to down quarter-on-quarter which would be kind of a first for you guys considering the nature of the subscription model. I was just wondering what's driving it. Is it project revenues that fluctuates, or is it maybe lower ARPU or kind of how do you explain that? 
Magid Abraham: No, it's really in the fourth quarter, we had a healthy fourth quarter in terms of project revenue, which was at $10.4 million, I believe. And that was -- and seasonally, we expect that because usually people spend the leftover budget at the end of the year. Now as you saw throughout the year, our project revenue in the first quarter was kind of flat. But then it bounced in -- it bounced up in Q4, and it was significantly up relative to a year ago. Now we don't expect the same strength in project revenue to continue in Q1. We'll probably be lower by a couple of million dollars, which is basically what is driving the lower total revenue. On the other hand, subscription revenue would continue to grow. 
Operator: Our next question comes from the line of Heath Terry with Goldman Sachs. 
Heath Terry: I was wondering if you could kind of touch on, if you're seeing any change in the average term length of contracts and if that's having any impact on the year-over-year decline in deferred revenue. 
Kenneth Tarpey: Sure. This is Ken, I can take that one. We actually are seeing an increase over time of the multiple year component of our business. It's gone from a year ago to about 30% of our book of business. And we exit the year now to about 38%. Typically, the payment terms on those deals, again, you usually -- you have your advance payments at the beginning of each contract year. Specifically, Heath, I think that's given us more retention, the ability to upsell with our customers. I don't recall that being a specific reason in terms on the payment terms side. 
Magid Abraham: Well, actually on the payment term side, they're multiyear contracts, at -- that we will get upfront payment for a year. So even though the length of the contract is longer, it does not really begin to affect deferred revenue unless we are able to bill. And since we're not able to bill for the full month a year but only for the first year, the 2 are really independent. 
Heath Terry: Great. And can you give us an update on the MRC certification process with their move to decertify a few of the previously certified options that they've had out there with Arbitron? Does that suggest that maybe they're getting a little bit more active in terms of moving through the backlog that they have? 
Magid Abraham: Well, we are working very diligently with the MRC. We did certify comScore direct last year. We are aggressively pursuing the certification of AdXpose and vCE in hopefully in the next few months, 2 to 4 months depending on how fast we can move. We are also continuing to work with the MRC of certification of other services as we introduce them. Our first priority is to certify vCE because we want to be certified as being able to count impressions with the same -- according to the standard that the MRC sets with the same level of accuracy as ad servers, which can start help us allow advertisers to pay on the basis of vCE results. 
Heath Terry: Great. And I guess just one last question on mobile. Are you seeing any improvement in your discussions either with Apple or with the Android holders in terms of being able to get some kind of direct device measurement into mobile traffic? Or is there any progress at all on that front? 
Magid Abraham: Well, we have implemented a measurement solution for iOS, which actually works -- is working pretty well and is increasing our panel counts in iOS. Our panel overall is growing, and we never really had a problem with recruiting Android customers. The challenge is particularly with Android is that the versions keep on changing and in a lot of cases, you have to develop special versions of the media for different generations of the operating system. We are making progress on getting other potential sources of mobile data, and we are also leveraging the mobile data that we get from people who are tagging in our UDM program. So we have several assets and approaches that we are using in mobile measurement. 
Operator: And our next question will come from the line of Shyam Patil with Raymond James & Associates. 
Shyam Patil: First question, could you talk about the traction you're seeing with the Web Analytics product in the U.S. market? And for the growth you're expecting in 2012, how much of that is in the U.S. and which competitors are you taking share from? 
Magid Abraham: Well, on a bookings basis, the growth in the U.S. is pretty significant. It will expand our entire bookings for Digital Analytix by at least 40%. And we are really having quite a bit of success and excitement about some of the capabilities that we have introduced and the new releases of the product that happened late last year. So we are excited about the progress that we are making in the U.S., and there's a lot of momentum behind it. On a revenue basis there are 2 hurdles to start accruing revenue on Digital Analytix. The first is implementation and customer acceptance. So to some extent, it takes some time for customers to finalize their tags above and beyond what we already have in UDM. And we cannot start accruing revenue until the measurement starts and until it starts showing up in the system. So that's the first thing. And then second, as you know, that whole thing accrues on a pro rata basis. So $1 million contract that we sell in April may not start accruing revenue until May or June and then we can only accrue half of it for the rest of the year. And contracts that come in later in the year will contribute less to revenue. So we are very excited about Digital Analytix both in the U.S. and in Europe, and we’re actually seeing it also in Latin America. But we are, from a revenue standpoint, we are expecting a meaningful revenue contribution to start happening in the second half rather than the first half. 
Shyam Patil: Great. And then a follow up, regarding the settlement with Nielsen, how do you think about or how should we think about potential joint management, I mean online panel similar to how Nielsen and SymphonyIRI run the National Consumer Panel, do you think that's something that can happen given the settlement? 
Magid Abraham: I think that our settlement with Nielsen is a signal of 2 things. First of all, just making sure that we are going to get into the litigation game. As you know, there was a standstill of about 3 years in terms of suing each other, so we look at that very positively. We also are -- we both realize that in the Internet space, there is -- the mode of action is coopetition rather than head-to-head strident competition. So I think that this was a signal that we are going, just like everybody else, into coopetition, where in some cases, we are going to compete less harshly, in other cases, we'll continue competing. As far as running a joint panel, I think that, that is not something that's on the table right now. But I think with the spirit of coopetition, if there are things that make sense and don't really affect sort of the competitive dynamics of the marketplace like the deal that IRI and Nielsen put together, those are the types of things that we could look at, that we could look at that makes sense from a cost standpoint. But at this point, there is no -- there has been no discussion about that and no expectations of that happening in the short term. 
Shyam Patil: Okay, great. And then just a couple of quick ones for Ken. Ken, what were the gross ads in the quarter, and what was the FX impact relative to the guidance range you provided for the fourth quarter? 
Kenneth Tarpey: I'm sorry, the gross ads were 185. And what was your question about FX? 
Shyam Patil: You mentioned the $600,000... 
Kenneth Tarpey: Yes, because the deterioration of currency in the fourth quarter versus where the rates have been in the third quarter or earlier in the year we've been fairly neutral because currency for us and many of the companies had a dampening impact on revenue in the fourth quarter. And we entered the quarter kind of looking at more stability in terms of the exchange rates versus where they ended up. 
Operator: And our next question will come from the line of Jason Helfstein with Oppenheimer. 
Jason Helfstein: Just 3 questions kind of a little bit insulated [ph]. So one, can you just talk about what's going with the mobile relaunch that was in beta in the fourth quarter? It was supposed to launch, I believe, in the first quarter, hasn't launched yet kind of commercially. Just comment if it's on track for second quarter launch, and just maybe any other color there. Second, if you can just give us an update on your uptake of YouTube video tracking, are you successfully upselling that to kind of the clients who you are tracking usage for? And then third, can you just talk about in the context of now Facebook coming public, your social media offering and the penetration among the top 200 advertising clients or something like that to give a sense of how broadly comScore services are being used to track social media? And then if they're asking for new types of products as Facebook continues to evolve what they're trying to sell to advertisers? 
Magid Abraham: Sure. The mobile relaunch, I think what you're talking about is what we call Mobile Metrix 2.0. It is out in beta, and we expect -- we expect it to be launched in the first half, whether it makes it towards the later end of the quarter or in the second quarter, I can't be sure right now. It depends on the beta results. On the YouTube video tracking, I think things are going well, but I really don't have a number for you in terms of what -- where that's coming at. On the Facebook going public, number one, it is -- we are really pleased about our growing, substantially growing relationship with Facebook and its contribution to revenue. It is one of our largest customers now. As far as our social services, they are getting -- they are actually unique. Social Essentials is a very unique product. One of the things that we have realized though is that our sales force is primarily focused on selling to publishers and not to brands per se. And so one of the things that we are doing this year to expand the reach within brands is we are partnering -- we are putting a special advert on reaching brands, and we are partnering with companies like Buddy Media, which has over 100 branded customers. And we're looking at different marketing venues to be able to reach brands that we currently don't do business with. 
Jason Helfstein: So is it -- is anybody else offering analytics on Facebook that, I don't know, that somebody could say would be superior to yours? I mean, part of this has to do with whether it's an internal versus an external solution, but I mean just give us a sense of kind of what you're offering for in the Social Essential versus what you think kind of other offerings that are out there in the market? 
Magid Abraham: We're not aware of anybody that offers capabilities that are competitive or match the capabilities of Social Essentials. And the reason for that is that Social Essentials focuses on not just how many people like something or the fan base, which other people can offer. But then the magnification of that fan base in terms of the exposure of their friends. And we get that by mining our panel. And as you know, that, that's something that is unique. And as far as we know, nobody's doing that. 
Operator: And our next question will come from the line of John Blackledge with Crédit Suisse. 
John Blackledge: Just a couple of questions. So based on the 1Q12 and 2012 guide, you expect top line growth to accelerate 2Q through 4Q. So just, if you can just give us the drivers of the acceleration there? And then also, some margin expansion expected in 2012 kind of where are you getting the leverage, is that at the gross margin line or kind of just explain where the up levers comes from? 
Kenneth Tarpey: Sure. This is Ken. I'll take both of those, John. Let me deal with the leverage point first. Again as you saw in the fourth quarter with the recovery on our gross margin line, that will be one area that I think we really look at from the expansion standpoint in terms of year-over-year to expand the EBITDA percent. As we go through the year and as we execute a secondary, it might be in the G&A line. But as we discussed before, sales and marketing continual area to invest in, as well as R&D. On the other one in terms of a growth during the year, a couple of factors that we've mentioned. One, of course, is project revenue as we talked about. That tends to grow during the year, particularly in the fourth quarter so that will be one impact. Second one is the take-up rate to revenue for vCE, as well as the take-up rate to revenue for Dax in the U.S. but also outside the U.S. as Magid mentioned in a previous question as well. 
John Blackledge: Great. And just one other question, one follow up. The subscription revenue line item is a bit of a black box. I'm just wondering would you guys ever consider kind of breaking that out a little bit further for investors? 
Kenneth Tarpey: Okay. We don't think of it as a black box, John. But if you're talking about the various pieces of our element and what goes in there, obviously our subscription services that everybody is used to. Our Dax business, the business that we have from our telephony customers to the Explore business. Those are the main elements that are in there. I think one of the biggest in our core business, the expansion of AdEffx from project base over the last several years to be much more driven by contract base or subscription, I think has been an element that the company looks to do more and more so over time, because probably time years ago where social activity was looked at on a project basis, and now we have subscription base activity. So I think in terms of the way we look at it, it comes down to the nature of the contractual relationship with the customer,  a one-off project base versus something that's repetitive in nature based on either time or activity over time. 
Operator: And our next question will come from the line of Robert Coolbrith with ThinkEquity. 
Robert Coolbrith: I'm just wondering in the past few quarters, you've given us sort of snapshot updates on ad effectiveness on you guys in terms of growth and percentage of revenue. I think most recently, it was about 10% of revenue, it was growing still quite strongly, maybe up 2% plus year-over-year. Just wondering if you can give us another update on that in Q4? And then also, just to understand sort of the take-up to revenue on vCE, you talked about some aggressive piloting of that product. Are you initially forgoing some revenue opportunities over the next couple of quarters to drive adoption to that solution where presumably that revenue take-up would begin maybe in the back half of the year? And what kind of growth in AdEffx should we expect in Q1 as a consequence? 
Magid Abraham: Okay. I will let Ken dig up the growth rate. I remember it was in the 40% to 50% range on AdEffx, but I'm not sure, which it was closer to. As far as vCE, you're absolutely right that there are going to be customers where we do have the opportunity of generating some decent vCE revenue on the first project. But we want to shorten the implementation cycle because we, we're strong believers that once a customer sees the impact of our ad impressions on their own campaigns, on their own products, they are -- they get a much higher sense of urgency in basically signing up on a broader basis. So if we want it to be -- if we wanted to really maximize short-term revenue, we can actually generate revenue from vCE earlier. But we really want to have a critical mass of advertisers getting to use vCE on a very broad scale and having their agencies start using that for those clients and potentially for other clients. And so we think that the right strategy longer-term is to actually adopt -- is encourage the adoption of vCE and sacrifice some early revenue in Q1 and Q2. 
Kenneth Tarpey: And in terms of the drivers in terms of the higher growth rates, I'm very consistent with last quarter in terms of the ad effectiveness side, mobile product side and also so the expansion year-over-year on our Dax business. As we mentioned last call, our implementation BBC is online, so that's a nice add to our Dax business worldwide. So those are 3 of the factors that are doing -- growth rate significantly higher to Magid's point, 40%-plus compared to the overall growth of the business year-over-year. 
Robert Coolbrith: Great. And if I could ask one question on the industry. You mentioned some pretty wide variances in terms of what you've seen with the validate Campaign Essentials in terms of the performance across different sites. And just for those of us following the industry, who's doing a better job delivering validated impressions? Who's doing the worst job? Is there any way that you can categorize that for us or just give us a little more color on that? 
Magid Abraham: It's too early to tell because our results came from 18 campaigns that, were generally speaking, coming in premium placements and executed really well. We actually expect the validation rates to drop to about 50% or even less for the broader Internet as a whole. We do think that there is an opportunity for publishers, though, which is that there was a tendency before to sell the majority of the inventory as remnant inventory because it falls below the fold. If the publishers guarantee or price on the basis of visible impressions, then we believe they're able to charge higher CPMs for visible impressions and therefore, actually significantly change their revenue mix. And in a lot of cases, we believe that some publishers are very well positioned to benefit from that and expand their revenue. 
Robert Coolbrith: As a [indiscernible] to that last comment, is there a significant opportunity to sell some of these products to the publishers to help them create new products and new monetization opportunities? 
Magid Abraham: Yes, absolutely. We -- as we speak, there is kind of a mirror image of vCE or something that's very related that we're planning -- we're working vigorously on, we're planning on producing 2 publishers to help them forecast a validated inventory and to be able to package it and price it better. 
Operator: And our next question will come from the line of Mark Zgutowicz  with Piper Jaffray. 
John Crowther: This is John Crowther on for Mark. First question here is just on the FX impact. I wonder if you could just walk through how that FX impact flows through the business model, and what impact it might have on EBITDA and EPS both in this quarter and as we look forward? 
Kenneth Tarpey: Sure. This is Ken, I can take that one. Our international business on the revenue line is strong majority local-currency based. There is some dollar-based business that we have, so that's the impact of the $600,000. On the expense side, most of our expenses are local currency base. So overall, the impact on the EBITDA line in the quarter was about $100,000. So as we look forward there, we will look at the continued expansion of our revenue on local currency basis because that's what our customers will be looking for, which is what we baked into our guidance range, as I mentioned having about a 1% impact. Overall, again, on the EBITDA side it's much more muted with the local currency expenses and not hugely meaningful at this point, but we have factored that in as well. 
John Crowther: Great. And as you kind of mentioned, talked earlier about where operating leverage comes from, you guys obviously showed great leverage on the sales and marketing and R&D line in the current quarter with percent of sales going back to levels well below the last, let's call it, 8 quarters. So it sounds like that may have been more of a onetime item and we should see that number tick up to more of kind of what we've seen over the last 7 quarters or so as we move into '12? 
Kenneth Tarpey: Yes, I think again as you look at it on a quarterly basis, we have that circumstance in the early half, the first half of each year due to vacation accruals and social tax impact that tends to depress the profitability somewhat, which we then get an opposite recovery impact with vacation accrual that can be reversed in the fourth quarter. So it's a little bit of an anomaly. That's part of why the EBITDA always tends to be several points higher in the fourth quarter versus third, as example, and then drops down in the first quarter of the next year. But on a year-to-year basis, yes, we agree that in terms of leverage it's the gross margins and then G&A and then R&D from that perspective. I think our message to investors has been lots of business opportunities worldwide and so continue investment on sales and marketing for proportional growth. But we do see leverage on those other line items over the coming years. 
John Crowther: Okay. And then if you could just kind of speak to maybe the pipeline in carrier analytics, obviously that -- those are pretty sizable contracts there. I'm just kind of wondering how that's kind of evolved here over the last couple of months and what your expectations are for that going into '12. 
Kenneth Tarpey: The pipeline has grown very nicely. You are right that those are chunky deals. And therefore, approval processes and then implementation with the carriers takes more time. And we've tried to factor that in, in terms of how we look at our go-forward business. But we feel very positive, and we're getting some very good -- we've had good established customers in the U.S. and now we're getting some very nice traction with some exciting international accounts as well. 
John Crowther: Okay. And then just a last question here, you mentioned on the call about submitting some results from a kind of 3-screen panel to CIMM. I'm just wondering, is that something that we could expect to see results on here? And how do you kind of see the potential for that, the work you've done there as maybe manifesting in some potential new contracts given those are some big name media advertisers, as well as agency clients that you're kind of doing this work for? 
Magid Abraham: I think it's too early for us to forecast that, and so as a result, we have been very conservative in building in the contribution for the 3- or 4-screen revenue in -- during the year. I think there is an upside of we see some pick-up as we progress through the year, but we wanted to be conservative at this point in terms of what we include in our guidance. 
John Crowther: And is that data something that we may potentially see here in the terms of kind of a steadier paper, or is that not something that we can expect in the near term? 
Magid Abraham: I don't think that -- I mean, first of all, I talked about the Olympics. You're going to see, obviously, a lot of results published by us and NBC about the Olympics in the June, July timeframe. We will show some of that data at some point, we just don't have a timeline for it as of now. 
Operator: Ladies and gentlemen, this concludes our question-and-answer portion for today's call. I will like to turn the call back over to Dr. Magid Abraham for closing remarks. 
Magid Abraham: Well, thank you very much for your interest and support. We look forward to you speak to you again in the near future and goodbye. See you again. 
Operator: Thank you for your participation in today's conference. This concludes the presentation. You may now disconnect. Good day, everyone.